Martin Fewings: Good morning. Welcome. Thank you for joining us for our 2024 Financial Results. Joining today from Glencore are Gary Nagle, our CEO; and Steven Kalmin, CFO. Gary, would you like to?
Gary Nagle: One year later, now we have reading glasses. Okay. Morning. Thank you for joining us and those joining us from other parts of the world, good afternoon. Those who are here in person, we really appreciate the in-person results presentations. I always think they’re very constructive and positive. And those online, thank you for joining us. We will follow a similar format in our presentation, and we’ll skip ahead to our scorecard for 2024, which very pleasing results, a very good year for Glencore. We finished the year with an adjusted EBITDA of $14.4 billion. Now if we split that out a bit as we always do between our marketing and our industrial business, our industrial business was very strong this year. As you know, and as we commented in our production guidance earlier in the year or our production results earlier in the year, we met our production guidance, the initial guidance that we put out in the beginning of the year, we met that, which is a terrific achievement operationally. We printed a $10.6 billion EBITDA – adjusted EBITDA result for our industrial business. And that’s largely on the back of a very, very strong metals business, and that despite being a weaker environment on the metallurgical side, on the TC/RCs, but our metallurgical business has been very, very strong. Offset a little bit by our energy business. As you know, energy price is down. So we’ve seen lower energy contributions to Industrial adjusted EBITDA but also very positive is a contribution of $1 billion from our new EVR business, our best-in-class Tier 1 steelmaking coal business in Canada, which we’re hopefully arranging a visit for analysts to go and see in the middle of the year. So very happy with that. So a very pleasing result on the Industrial side. And the Marketing side, also a very good year. As you know, we guide annually to a $2.2 billion to $3.2 billion EBIT marketing result. We hit the top end of the range again. I know the question will come later to Steve, when do you change the range. I’ll leave him to answer that. But from our perspective, another very, very pleasing results. Again, a big contribution from the metals business. Very pleasing to see the metals. You know in previous years, we’ve had a very strong contribution from energy. And that just proves the value of this diversified portfolio that we have, the franchise that is Glencore, that in euros, where we see lower vol and movements in energy markets, we’ve seen the opposite in metals, and we’ve done very well in metals. Not to say there hasn’t been a very good contribution from the energy side. There has been, by this year, it’s been about metals and very happy with that. So overall, a very, very pleasing contribution across the business. I guess those who are in the room, the experts on the mining industry understand that this is where it all is about, adjusted EBITDA and cash flow. There’s some accounting adjustments which get to your net income or a net loss. Some of those who aren’t fully across the understanding of how accounting works in the mining industry always seem to report our net income. That makes no sense, as we all know. What really makes sense is cash generation, adjusted EBITDA, and that’s what we produced a very good result this year. On the balance sheet side, net debt to adjusted EBITDA below 0.8. Steve will get into the details of the balance sheet a little bit later, but very, very strong result, allowing us to return cash to shareholders. So we’re very, very pleased to announce today a cash distribution to shareholders following our normal distribution policy of $1.2 billion of cash. As you know, how we split that between our trading business or our marketing business and our industrial business. And then over and above that, very happy to resume buybacks, $1 billion buyback starting immediately and the nice thing about this $1 billion buyback also is that we’re going to have this done by the 6th of August. So by the time we get back to our interim results, and we’re all together or virtually whatever we do on the interim results, we’ll be back and be able to look at any additional cash distributions or buybacks in the middle of the year. So it’s been probably Martin was telling me yesterday, we’ve been at the market for about a year, not buying our stock. As you know, the reason for that is we bought EVR, $7 billion. So we’ve been able to consolidate that business into our business, work down the debt. So very pleasing to be only 12, 13 months out of the market, not buying back our own stock, back in the market in a substantial way, $1 billion and the potential for a lot more to come once we get to August of this year. And then on to EVR, and a little bit of an overview on EVR and how we’re going, very successfully integrated into Glencore’s global coal business. As I said earlier, this is a Tier 1 best-in-class asset, long life, high-quality coal, high-quality geography, terrific management team, and integrated very well into Glencore. We’re very happy with this asset, $1 billion contribution to EBITDA just in the second half of last year, and we look forward to continued growth in that business. The 2024 performance, in fact, was a very good performance. If you look at how we performed for the year, 2024 is the highest production that business has had over the last 3 years. Very much back-weighted and back-ended to when we took over as owners of EVR. So some of the numbers are in the presentation, but nice to see that our production in the second half of the year, up 8% off the first half. We took over, I think it was 8th of July or 9th of July, whatever it may be. So, production second half on the first half, up 8%. But even more pleasing because it’s not just about production, is what our costs have done. And our costs have come down materially. Costs down 14% first half versus second half on an FOB cash cost basis. And for those mining engineers or miners around here before you start thinking there’s any sort of high grading or games going on, on our BCM rates, down similar amount. So this is real cost savings Glencore has brought to this business, very, very excited with this. Synergies, we are seeing the synergies. We’ll report more of those when we go visit the operations with you in June, but there are synergies across the board. Where we’re seeing just synergies, we’re seeing them through the value or through the coal supply chain, where we’re able to move the tons down the coal chain and create synergies through our expertise having coal chains around the world, procurement synergies, cost synergies, maintenance synergies, mine planning synergies, marketing synergies, you name it. And in fact, we’ve had a lot of positive feedback from our customers. Here we are now with these marketing synergies, which are, in fact, benefiting our customers as well as benefiting us. We are delivering in the coal that they need the right quality, the right spec, on time as they need it, as required. And that’s creating value for them, and it’s creating value for us. So the whole integration of EVR has gone very smoothly. As I said, we’re very fortunate to have inherited a fantastic management team there and to be able to have this Tier 1 best-in-class asset, very exciting for Glencore for many years to come. And with that, I’ll hand over to Steve on the financial side.
Steven Kalmin: Good morning all here in the room and those that are listening in on the call. It’s great to have you present for our 2024 update financial results presentation. If we – we’ll run through slides, most of these would be relatively familiar. We’ll recap 2024. More importantly, we’ll get into a range of slides that’s more forward-looking. It’s – just given timing of sequence of our calendar, we’ll spend much more time as we recalibrate longer-term guidance around production cost, CapEx, and of course, balance sheet and capital management initiatives that we’ve able to both pay base dividends, reinstate buybacks, and then the promise of more to come as we’ve absorbed the $7 billion acquisition, of course, of EVR. All the numbers on this particular page, they’re really just financial highlights. We’ll see detailed slides throughout the presentation that go into a little bit more detail as we follow through. But as Gary mentioned, and pleasing adjusted EBITDA performance $14.4 billion. That was down 16%. A little bit more on the industrial side, primarily on the energy, lower prices. We’ll look at spot illustrative cash flow generation at the moment as well. Marketing EBIT, another strong performance. We keep – obviously, the base has been high as we’ve sort of come through the 2022, 2023, particularly energy volatile markets and the opportunities that, that presents. EBIT at $3.2 billion, that’s obviously a fantastic result in marketing, too early in the year really to guide for 2025. We normally do that when we report our Q1 production report, but the year started reasonably well in 2025 also on the marketing side. Net debt finishing at $11.2 billion, from which we then set our sort of roll forward on a pro forma basis from which we look to make the distributions and buybacks. There were some movements within that debt that may sort of need to be calibrated within one sort of projection of how that gets reported. Marketing leases within that, which is really the historical operational inputs into our marketing business through storage, through shipping, through chartering, if there’s any commitment beyond the 1 year that now get capitalized in marketing leases, that sort of was up $400 million just year-on-year within that. We pull it out for the purposes of looking at capital headroom and comfort around distributions. And EVR, I’ll also talk about that later on, where the consolidation of that, notwithstanding it was a debt-free acquisition. We did consolidate and assume $0.6 billion of debt on the EVR acquisition. I’ll talk about some of those components. Half of that is going to disappear by the middle of the year, and then we pick up a little bit of Neptune terminal that we have 46%. So again, we pull that out for the purpose of pro forma distributions. But from a headline purpose, if you were kind of modeling through that’s something that yourselves in the market may have missed something in the marketing lease area and potentially EVR debt. But that all sort of comes back and doesn’t constrain how we think about sort of optimal structure and the ability to make distributions going forward. From a debt coverage and net debt adjusted EBITDA, as Gary said, 0.7, very comfortably below 1, and that’s just with 6 months of EVR within. So it’s obviously – if you put a full pro forma, that number would even be less than that as we work our way through. In terms of industrial performance, it will make – it will sort of esthetically tabulate as we work through a waterfall chart on the following slides as well. But overall, down 20%, but Metals and Minerals are actually creaking up and improving also on a spot illustrative basis, both from a – there’s some pricing benefits, there’s some cost benefits, there’s some volume benefits. It’s all going to come through in the next sort of year or two as we move forward. But that business itself, you can see on the yellow top right, the Metals and Minerals contribution, $5.4 billion, up to $5.8 billion. There was also a pick up half year on half year. We were $2.8 billion and then $3 billion in the second half to deliver $5.8 billion. Some of the contributing factors that we call out on the left-hand side, Kazzinc added $500 million. As you well know, you’ve got both zinc units, the Zhairem is ramping up, and it’s been quite successful off late and we’re getting to steady-state production in that particular business. And of course, the gold exposure we have within that operation, both byproduct and as a primary gold operation as well. So with gold prices and the likes, that’s contributed very nicely on the Kazzinc side. Little known aluminum department is also now coming into its own through our not operation and control stakes, but we’ve got our 47% in Century. Not bad to be positioned in aluminum production in the U.S. these days with all that’s going on. We’ve bought 33% of Alunorte, largest refinery outside of China. That’s also contributing well. And we have 33%-odd within CITA, which is alumina refinery and bauxite operation also in Indonesia. So that overall complex has moved up materially and has upward momentum, some of which we’ve factored into our spot illustrative numbers as we work our way through. And the nickel department, that is a positive projection, but it’s just moving from more negative to effectively breakeven or slightly less negative, and that’s fundamentally the Koniambo having put that into care and maintenance early in Q1 last year. And the metallurgical – custom metallurgical business continues to weigh. Of course, we’re probably net-net, balanced around treatment. So what you may give away on TC/RCs, you’re making on the mining side, the concentrate business. But we did see about $0.6 billion negative variation year-on-year contribution, and that’s across copper in North America. You’ve been to some of those assets, whether it’s Horne, CCR, our European zinc portfolio, and also we have a zinc smelter in Canada in CEZ. So that moved from 760 to 230 contribution. So that weighed on the Metals and Minerals. On the energy side, the predominant reduction was clearly the lower prices, particularly on thermal side, on the energy side, so $3.2 billion down across the energy business. Within that, there’s a positive $1 billion contribution from EVR just for 6 months that, that contributed, but across bottom right, still very strong margins, reflecting positive positioning within cost curves and competitiveness across the structure, at 28% across our metals portfolio and 36% across the coal business as well. If we then look at what the waterfall shows, the big bar on the left, overwhelmingly price driven as we map from ‘23 into ‘24 the net $3 billion reduction on pricing, there was $3.7 billion within that of negative contributions and positive of $0.7 billion. Coal was the biggest part, predominantly on thermal, but a little bit on met coal as well within our legacy Australian met coal business. EVR we put in its own bucket at least for this year, and we’ll track its variances going forward, but $3.2 billion on coal. Slightly low oil prices. We have a little bit of upstream gas and oil exposure in that business. That was $0.1 billion. Nickel continued to decline, stabilizing now, but that was $0.3 billion negative within that number and ferro a little bit as well on ferrochrome business, particularly on the smelting side. Positive pricing variances we saw in zinc of $0.4 billion, including the gold business, and copper was $0.3 billion, which was higher copper net of cobalt, which we have as a pricing variance that we have within that business. The volume variance. The base business declined a little bit in volume. EVR variance, you can almost say that is a positive volume variance. And we do look at our copper equivalent volume growth both in ‘24 and long term, of which EVR is certainly a big factor. Coal rebased downwards. We’ve seen some of the volume variances as well. Some of it was some mine closures. We saw Integra and Newlands and Liddell during the last sort of year or two, we’ve seen some longwall moves, particularly in Australia. South Africa needed to rebase around export constraints and cold chain down there. That’s now again settled at a level that hopefully it can both settle and improve over time. And Colombia has proved to be also a sort of a tough environment around community blockades, permit approvals, also rain delays that we’ve had over there. And you’ll see later on the full guidance that we have as well, but there was 5% or 6% reduction across our coal volumes. Zinc improved. We’ve seen Zhairem, and coal and copper is also more in a temporary sense, we’ve seen some anticipated lower grades and sequencing around Collahuasi and particularly Antapaccay and we’ll show the full base business copper projections later on until 2028 and then Gary will talk more about the longer-term pipeline and growth projects that we have. Cost containment was quite good in the business. We’ll see some of the unit costs as well later on. But in primary functional cost of negative $0.6 billion, that’s in the Aussie dollars, the Canadian dollars and the likes, there was a little bit of currency benefit during the year, but it was more flatter. We’ve seen a strengthening generally in dollar more recently. So currency is presenting a tailwind and as we move forward, wasn’t so much in ‘23. But net-net, we saw a $0.5 billion increase in cost variance across the business, across our entire cash cost base within the Industrial business that represents about 1%. So it really was relatively modest increases and that big inflationary wave that we saw over the last 2 or 3 years has largely dissipated and there is more efficiency gains that we’re working on coming through the business. Koniambo, we split out on the right-hand side, you can see the year-on-year positive $0.3 billion from going from minus $0.4 billion to effectively 0 as that business is in its current state. Important graph, but a busy slide – a busy one as it affects all of our businesses running through the financial attributes of cost, volumes, profit by commodity across our 4 largest businesses today, where we sort of provide the building blocks, the guidance, the longer-term projections. We’ll see spot illustrative analysis later on. We’ll also look at some of the longer-term rolling from ‘24 into ‘25 in the various years. Copper business, we’ve spoken about the decline in volumes. Cobar was sold, obviously, ‘23 like-for-like down 4%. But again, Collahuasi, Antapaccay particularly going through their grades and sequences, one or two unanticipated, but this was all factored into guidance that was all met during 2023. And cost performance, you can see across all the business, has been largely contained, pre cost on copper at $2.31 for the year, we were $2.30 for the half. So all that cost within the business is largely plateaued, even declining in many cases, and that’s for a $3.8 billion EBITDA within the copper business. That reflects some project spend. That’s not underlying base business. You’ve got some MARA and some El Pachon and some other costs we’ll show sort of later on that, that’s going through. Our spot illustrative as we roll forward that business for ‘25 parameters is moving up to $4.1 billion from the $3.8 billion. And again, we’ll see some of the longer term. The zinc business has been a huge star performer as that business has, a, bringing tons, bringing efficiencies, cost reductions, being able to focus around its core Kazakhstan and Australian business, the sale of Volcan and some other smaller assets over the years have certainly sharpened the focus and the efficiencies of that business, but it’s delivered $1.4 billion EBITDA, and it’s $1.9 billion or so or $2 billion on a spot basis. All zinc and copper clearly getting held back cost wise through the struggles in the custom smelting part of the business. Steelmaking coal still in a transition year, where you’re reflecting somewhat sort of distorted between half year of EVR and the full year of the legacy Australian business, but that will roll forward. We’ll show you what 2025 really looks at the better shape of that business. Good cost performance, higher margin from the Canadian side. So everything sort of rolling into a higher margin, good quality business across that. And the energy coal with its lower – slightly lower volumes, still high-margin businesses, but we’re seeing an increase in their portfolio mix adjustment. On the energy side, where not all coals were clearly created equal and particularly the sort of Colombian coal with its netbacks having to sort of compete with a lot of product moving into Asia, its net realizations are limiting and some margins there. And Gary spoke about us looking across the business generally and saying, where can we look at improving margins, supply generally within that business as well. So there is some comments about its sort of geographical disadvantage, which is clearly the case at the moment in our Colombian business. Marketing, very strong performance of $3.2 billion. Again, it was the Metals and Minerals picking up during the year-on-year big lift. We’ve seen that sort of switch from sort of energy, both in Industrial and Marketing across ‘22, ‘23 into a stronger performance on the metals. Again, on the yellow graph on the right, you can see a $1.7 billion to $2.4 billion, $0.7 billion pickup. That was very broad-based across all our contributing businesses, whether it’s copper, zinc, nickel, aluminum, ferroalloys, very strong performances. You saw a tight physical concentrate markets, TC environments, these were all generally helpful and constructive from a trading perspective. And on the Energy side, the $1.7 billion, which was at some sort of unsustainable level, frankly, where normal cruising speed is, it finished at sort of at $0.9 billion. We’re still continuing to pick up our 50% share on Viterra before that transaction closes with Bunge. We picked up $165 million share of net income compared to $321 million the previous year. So that was also year-on-year negative components. That is somewhat compressed. It sort of belies the true Viterra performance at 100%, had an EBITDA of around $1.6 billion against $2 billion. But because you then have depreciation, interest and tax, you sort of pick up a lower net income given how we account for that business. So, strong overall marketing performance that keeps delivering as it’s intended to do. I think the important slide is we just highlight an account for where we started the year on net debt where we ended the year, $11.2 billion, $4.9 billion. FFO, which is our effectively operating cash flow less interest and tax of $10.5 billion, a very strong H2 performance in that. H1 was $4 billion; H2 was $6.5 billion. Now yes, you had Viterra, I mean not – you had EVR business coming in. But you had that growth in volumes also that kicker that we came. Last year was a somewhat H1, H2 weighted across volume. And in almost all cases, we delivered that recovery, if you like, on the production. So that contributed towards a strong FFO. The net cash spend on CapEx $6.7 billion, we’ll have a slide on that later on. The investment $7 billion, essentially all EVR, the non-RMI working capital generated $800 million. It did give back some in H2. It was $1.7 billion in the first half. So there was $0.9 billion moving out in the second half still to be a positive contribution. As you’ve covered us for many years, working capital is a huge part of our business, movements of $500 million, $1 billion can be fairly frequent and common around commodity prices, opportunities, receivables, payables, gas businesses margining, there’s multiple elements that have gone into that. Through into the end of last year, we did see a pickup in LNG prices in European. We have longer-term contracts supply from U.S. We do carry longer-term fair value of marketing contracts. We hedge all that sort of stuff. There’s a bit more that’s had to go. It was extreme in 2022. There was elements of that towards the end of 2023. Invariably, opportunities do open for us as we close into a calendar year around some prepays, extension of terms. There is a lot of industry positioning around balance sheet performance at 31st of December. And you will generally see some opportunities that we would be silly not to pursue around year-end. So that you would normally find that there is always a few hundred million dollars that sits there at 31st of December, very quickly unwinds. I mean, there was just a particular sort of Brazilian iron ore prepay that we did before the end of the year. It was all taken out, repaid by January already this year, extremely strong IRRs around these as people look to sort of manage balance sheets around the end of the year. So cyclically, there’s always going to something in Q4. Distributions, those were effectively the base distributions we had in 2024. Now the assumption of EVR debt, we’ll just spend a few seconds on that, a minute or so. This is something that, frankly, even I didn’t know what the number was going to be until we bought it the 11th of July. We were working through acquisition accounting. By the end of October, I’m like, okay, there’s $0.6 billion from EVR. The biggest component of that or $300 million of that is a consolidated loan from our minority partners in EVR. So as you know, we bought 77%, Nippon Steel 20%, POSCO owns 3%. The way that, that partnership or JV is structured, rather than all equity contribution, there is some shareholder loans the way the tech actually set up that structure prior to its sale. Accounting requires us to reflect that as a liability from our minority whereas it’s really equity. We will be working on some rolling those debt back up into the equity tranche. So that $0.3 billion will disappear by the middle of the year. It’s not a – none of it is classic financial debt. It was bought as a debt-free business effectively as well. There is $150 million, $0.15 billion of our proportionate consolidation of Neptune Coal Terminal. We own 46% of that. It itself has some project debt within the business, non-recourse to the – there is some, obviously, sort of not necessarily take-or-pay, but there’s some usage fees that the business is using for to provide the cash flows for that business, but there’s $150 million of Neptune debt. Again, there’s a determination, you consolidate, you proportionate, you equity account, we have to proportionately consolidate, so we pick up a share of debt, which is not our debt effectively. And there’s a little bit of leases, some old runoff of leases of fleet and the like. So that’s part of the reporting of net debt, $11.2 billion at the end of the year. As you’ll see later on, this was clearly never intended at buying EVR that any amount we pick up in these categories was going to constrain our ability to make shareholder returns and top up. So we’ve – yes, it’s part of the reported net debt, it’s been pulled out for the purposes of how we think about surplus capital distributions. And that will effectively migrate and roll out to 0. It’s not a vehicle. We’re looking to finance the group over time as we move. And then the last category of the movement in leases, reflecting primarily marketing leases, which rolled out over a very quick cycles as well. If we look at the – how we thought about capital returns and the likes. We started about, as Gary said, calculating the base distributions, the $1 billion plus 25% of industrial free cash flows, that’s our $1.2 billion. That’s the kind of anchor of a cash type return that we expect every year, and then anything topping up, we can allocate towards buybacks or special cash. So we start at $11.2 billion on the graph. On the chart, we pull out the $1.2 billion of distributions that we’re obviously going to pay to look at the pro forma structure of the business. We pull out marketing lease liabilities. We pulled out the EVR debt of $0.6 billion. We’ve also got something relevant tax receivables. You may recall a couple of years ago when we went the other way around, we generated those big earnings in 2022, and we said – we knew there was tax to debt reckoning, I think it was $1.5 billion in respect to Australia and Colombia at the time. It didn’t hit the balance sheet in ‘22, but we knew we’re going to have to pay in ‘23 in respect to the previous year. We said this is debt like. We need to position for this before we think about distributions. Now it’s the other way around, as particularly in some of the energy economies, in many countries, you pay provisionally in respect to previous earnings. If you pay too much, you come back in the following year and you get some of those refunds. So these are $0.4 billion of tax refunds in respect of previous years, we now expect to get repaid, overpayments of tax effectively. We said that’s cash like and an asset of the business and we can put towards our distribution to shareholders. We positioned for the Viterra cash component of that particular transaction, expected to close in the coming months, $1 billion for that. That then allowed top-up distribution of $1 billion, finishing at $10.3 billion, circa $10 billion and allowing the buyback to effectively be implemented now and running until August. The reason it’s August and not the end of the year because we know more is coming. So let’s just compress the buyback before August. It’s a business generating $4.8 billion free cash flow at spot prices. There’s no cash requirement come August. It’s all up for grabs in terms of how it can be deployed within the business. So we fully expect to see some continuity in the buyback program, this $1 billion and continuing at some level beyond that as well. We can certainly also think about the – when we do – when the transaction with Bunge closes, of course, there was the cash element. There is also a scrip element getting 16% or so. Yes, there’s lockups, yes, there’s other variations around that, but that’s something long term, we can think of whether is there any way of sort of accelerating some of that return to shareholders, whether it’s through some sort of loans against that non-recourse type funding that we may be able to do against those shares that may allow some early distribution. And something like that could be done out of cycle. It doesn’t have to necessarily wait till August, if that particular transaction was to close. In terms of CapEx, important slide, as we work through, if we think about 2024, headline of $7 billion capitalized into the Industrial business. The cash was $6.7 billion. There were some proceeds of some assets. Every now and again, you trade in, you sell, you do whatever. So the net cash was $6.7 billion, a little bit of leases on that side as well. $6.7 billion also included $100 million that was spent last year on our various projects that was capitalized. That’s the MARAs, the Pachons and the likes as well. So we think sort of like-for-like, if we were standing here last year, how much CapEx did we spend on the base business, there was $700 million for EVR as well. So the base business was more like $6 billion that was spent in cash terms, maybe even a little bit below. We had an average cycle guidance last year of $5.7 billion. And now the average has moved lower because we spent a little bit more last year at sort of $6.9 billion. We always thought we may spend a little bit more, but CapEx is such a – it’s – you don’t know exactly is it going to come in Q4, is it going to come in sort of the following year, that’s why we tend now to look at an average 3-year cycle, which I think is more useful and valuable in some of that cycle. So if we look forward, we’re now talking about a $6.6 billion average for the next 3 years, that’s the 2025 to 2027. EVR component of that is $1.4 billion, base business ex EVR $5.2 billion. So we’ve rolled forward $5.7 billion into $5.2 billion now as we had another year, which is always expected to be a bit lower and we spent whatever we spent in 2025 as well. EVR, if we look at some of the bigger components going forward, ‘25 to ‘27, if you can see some of them. Copper is about 35% to 40% of that spend. Collahuasi, we’re no longer – I mean, desalination plant has moved from a material project now into sort of getting closer to being done and being commissioned through the course of this year. That was part of the biggest spend over the last year or 2 is that as that comes through. They’re doing a separate project expanding to 210,000 tons per day of processing. That will add some volumes to copper, you see later on in the 2027-ish, back end of ‘26, ‘27 period. That’s in these numbers. In terms of the CapEx, there is higher stripping levels also across the copper business, a little bit in coal. Nickel OD, Onaping Depth, it’s been a long drawn out process, the future units as we get out of the Sudbury Basin, that again within the next 12 months or so is when that starts getting to ore and getting to be able to add some units from the old mines that are closing in. EVR itself, we still – Gary said, integration is going very well, but we’re still getting to the point of owning all the spend, putting the Glencore stamp of ownership and review and challenge around all that they’re spending. There is elevated capital in the EVR business, $1.4 billion, the average for the next 3 years, then reducing down to $1.1 billion or so. Now the major front-loading of some of that CapEx for those that have followed sort of EVR and Teck over the years, you would have seen some of those requirements, particularly in the water treatment. There’s permit requirements there. And part of licensing and permitting everything else is to, at least in the shorter term, move up to 150 million liters a day of treatment capacity from 77 million. There is multiple plants that are being commissioned in various stages over the next 2 or 3 years. And there is also a big upgrade and expansion around capacity of material movement, whether it’s in trucks and travels and that sets up that business for long-term sustainable 26 million tons and potential growth options that can come from EVR, but that steps down as we move on. So that’s guidance. We’ll factor that into spot illustrative cash flow down the track. Here’s some volume and portfolio projections and guidance effectively ‘24 out to ‘28. What I may do as well if someone is controlling the slides over there is just to jump to Slide 31. I think we can quickly run through that. I think it’s – there’s a page on each of the main businesses, but I think it’s important to look at copper, and the various other business. Well, we split it up, at the bottom left, you can see between the base copper business and the copper units coming from our zinc and nickel businesses primarily Isa, Kidd and Kazzinc, those are the businesses that produce copper units. They do decline basis some closures. At Mount Isa and Kidd over the next 2 or 3 years, so you see some declines here. The base business itself is really anchored around long life, low-cost assets in Collahuasi, Antapaccay, KCC, Mutanda, all of those comprising you can see 90% of the volumes are going through the system. We do dip a little bit in 2025, primarily in South America at around 50,000 tons. And Collahuasi, you can see there is around 30,000, and that’s through a period again of treatment of lower grade and some water constraints that they’re still operating as they then get through into second half of this year, in particular, you get 210k that goes through, and that then keeps recovering that 30,000 and then adds another 30,000, 40,000 towards the end of this particular period. There is also periods as we go through Antamina as well as Lomas Bayas, again some temporary grade and sequencing issues at both of those, and you see all of that recover as we go into 2026 and then beyond. We’ve got the sort of LatAm portfolio then getting up to 650,000 by 2028. And the African portfolio, we see at 300,000 tons combined KCC and Mumi by that 2027 a little bit earlier. We’ve spoken historically about some land constraints and some inefficiencies and some improvements that need to be done around at Africa. We are making progress towards some of that access and the way forward around getting that extra 50,000 tons. This is all before any of the other bigger brownfield growth options projects, the pipeline that Gary will talk about later on, that sort of 1 million tons around Argentina, Chile, Peru and Africa as well. So there’s a copper profile. This will have a profound effect on both cost structure given denominator effects, fixed cost business and ultimately, the cash flow generation of this business and also tapering off of CapEx as we then go through these various periods as well. Zinc going a little bit the other way around, sort of in the more medium term as the business overall settles more around 750,000 tons. We do have a few mine closures. $2.25 is a big sugar hit on zinc, not in the zinc business itself, but it’s zinc coming out of Antamina. As you can see, our share again bottom left, goes from 92,000 in 2024, stepping up to close to 150,000. So they’re going through a very high zinc grade area sequence of their mine, lower copper, which is one of the reasons why there was a slight dip in copper. And then as we get to 2025, ‘26, you’ve got Lady Loretta, one of the satellite operations at Mount Isa on zinc. That’s end of life around the end of ‘25. And then you’ve got Kidd and Maleevsky, one of the zinc mines also during the ‘26, ‘27 period. And then you’ve got George Fishers and Zhairems and various – McArthur River is a steady-state business at that 750,000, 760,000 tons on the zinc side. It’s also a reason knowing that we had some volume declines over time. You’ve seen such impressive cost reductions in that business as they’ve right-sized for a business that is focused around longer life assets that we have as well. And you can see some of those cost structures down the track. On the EVR or steam coal or met coal business, fairly steady state now, 26 million tons with some expansion potential out of EVR, leaving about 9 million tons in Australia. No particular closures in Australia during this particular period. If you roll that forward maybe a year or two, you do have some declines in Australia, but very now long life, low cost, high-margin businesses coming across those business as well. We’ll see what that business is now generating spot price cash flow. And on the energy coal side of the business, 96 million ton, midpoint guidance this year. Pretty flat consolidated portfolio out till 2028. Beyond that, there is some mine closures that we keep this sort of run down working within our targets that we have across this business as well. The one business that will shut within that period out till the end of ‘28 is Clermont. It is a business in Australia. It is not consolidated. It is a managed production. It’s part of our overall, if you like, reporting of Scope 1s and 2s and 3s, but it doesn’t manifest in this particular business. But that’s a fairly reasonable-sized mine in the sort of 10 million to 11 million tons sort of per annum, high-quality business, does close within that period. It doesn’t show in this consolidated production dip, but there will be a small earnings impact, if you like, it’s just an equity pickup that we have on that business as well. If we then return to page and then quickly wrap up – it was Page 15. So that’s just putting it all down in less visual format. You can see those same numbers that we showed earlier on, that’s showing a 4.2% compound annual growth rate, long-term copper equivalent price that we do use out. You’ve got copper, as we said, going at 1 million tons. That’s also sequence with potential cobalt additional units coming out of the African business, again, subject to market conditions, of course, is important, but we do see a period out there in this period when that particular market does start rebalancing and become more interesting for us as well. Nickel, you’ve got the extra units you can see from ‘26 to ‘27, that is OD, and the Sudbury Basin over there and steady production from the coal businesses out during that period. What does that all translate into and mean going forward before Gary takes over the real long-term growth options within the business as well. This is base business as well. Costs, I think, pleasing numbers to report on the cost side. Copper, of course, is being constrained or you got denominator effect through ‘24, ‘25, you do see dips in production, trough periods before we start recovering out to 2016 and beyond. You got before byproduct at $2.31 to $2.39. That’s all denominator effect, actual costs, there is some improvements in this business. That’s $1.78 after byproduct that’s with depressed cobalt prices, current spot, everything is working its way through the system. To give you some sense beyond that ‘26, ‘27 with that extra volume coming through, Collahuasi comes through, Antapaccay and a little bit of Antamina, that $1.78 moves down into about the mid-$1.40s. We’ve got $1.40 on the cost structure. And by 2028 hopefully, with something we do have a sort of contangoed view of the world on cobalt, is not going to stay here forever, we know it’s not going to be bonanza times, but it’s going to pick up at some point. You’ll have in our modeling some unit costs post byproduct towards $1 a pound by 2028 before the consideration of the longer-term options. Zinc, you can see the massive improvement down to $0.06. That’s portfolio optimization and cost initiatives generally across the group, and they can now focus around particularly Kazakhstan and Australia without getting too sort of distracted and on the weeds on some of the smaller LatAm portfolio that they’re historically having to micromanage quite difficult assets, including Volcan and the likes. So very strong cost performance there. Steelmaking coal is somewhat of a blending effect of bringing in Canada fully for a year at $110 cost structure with an $82 margin and $66 costs. We’ve got some FX – positive FX rolling through there and you’ve got some lower revenue royalties. So we’ll just wrap up with our chart that we rerun twice a year. I think it’s quite useful. We obviously track this as well, the spot illustrative cash flow running throughout all the kind of bottom-up buildup, carry it through cost structures, look at byproducts, look at fuel consumption, look at all the different levels within this business. And we’ve seen all the inputs on the copper business. We pick a midpoint. This was using 7th of February macros, which was roughly where we are today in the metals. It was sort of 94, 80 or so on. On copper, we take a 4% price discount because of quality and other factors on the copper business, but you’re generating $4.1 billion of EBITDA there. That’s what it $0.2 billion of that we don’t build into our unit cost because it’s still to do with MARA and projects. You can see the $0.2 billion at the bottom. That’s against $3.8 billion last year’s performance zinc at $1.9 billion with that low-cost structure and some volume recovery on the Zhairem. Very good performance there, steelmaking coal now ahead of energy coal at that environment, because of the high-margin, business clearly coming, that was using a forward strip of – there was $206 forward on the hard coking coal index average next 12 months. It’s ticked up a little bit since then. So I think it’s around $213 or so. On the energy coal, it used to be $123 on Newcastle strip, that’s ticked down a bit, that’s probably $117 at the moment. Those two probably cancel each other out in terms of how they wash through the business. So this would still be pretty much where we would validate it if we were to press the sort of update button even as we speak. The other departments, $1.5 billion across ferroalloys, nickel, aluminum and oil and some of the corporate and other, you’ve got $15.3 billion of EBITDA. You’ve got your taxes, interest and other working its way through the system and that average CapEx that I mentioned earlier on, that $6.7 billion for roughly $4.8 billion, $5 billion or so free cash flow augurs well for that coming here in 6 months’ time and saying balance sheet has generated another X, here is a top-up of here, and we keep going with those shareholder returns. Of course, EVR, great business. I mean we’ve spoken about all of its thing. It consumed $7 billion. Without that, you would have had another $7 billion in your pockets effectively, but we think the better reinvestment was in this business, long-term generation and have set this business up well. It needs to compete with buybacks. We think it has. And now we can get back into where the best returns are including buybacks. So I’ll hand over to Gary to wrap things up.
Gary Nagle: Okay. So just to wrap up, take a snapshot of where we are, our strategy and how we deliver our strategy over the last few years. We’ve simplified the portfolio, as you know, we’ve shut a number of assets or disposed of assets that have been either loss-making in the shape of the likes of Koniambo. We’ve sold off some other assets, which are subscale, not fit for purpose. So we’ve shut or disposed of more than 20 assets, leaving us with a portfolio of terrific long-life, low-cost assets in good geographies around the world, well diversified, giving us that long life, low cost base to be able to project into the future, delivering the commodities at low cost to our customers. At the same time, we’ve also enhanced our portfolio of organic projects, and I’m going to get into a little bit of that later. But just in terms of our resource base and probably what our two key commodities are where we have. Obviously, we’ve added out EVR. We’ve spoken a lot about that during this presentation, but that’s additional approximately 800 million tons of additional marketable reserves. Of course, the resource base is much bigger. So that’s a – we keep going back to a great acquisition. We’re very happy with that acquisition, very happy with that asset. So that’s a real growth asset for us in our business. And in terms of our copper business, we’ve done a lot of work understanding the organic profile and resource base that we have. I think we’ve reported some of these numbers before, but we have close to 20 billion tons of measured, indicated and inferred resource. That’s a growth of more than 6 billion tons since a previous report in 2022. And that’s going to set us up for the future when and the way these projects get developed, and we’re going to talk about that, as I say, later. The other part of our business that we’ve been very busy on, and we’ve done very successfully for many, many years, is the M&A side of our business. So just touching on a little bit that we’ve done over the last few years. EVR, the headline acquisition during 2024, $7 billion for a Tier 1 best-in-class asset, very cash generative, long life, low cost, that was a fantastic asset that we bought. We’ve also bought other coal assets. As you know, we bought Cerrejón about 3, 3.5 years ago. But the other thing that we also bought during that period is a lot of our minority joint venture partners around the world, and more particularly in Australia, we wanted to get out of steam coal at the time. At the time, coal was a 4-letter word. It seems in today’s world coal is no longer a 4-letter word. But at that time, many of our joint venture partners wanted to get out of coal. We were able to buy those coal assets from them. We landed up buying another – if you combine that with Cerrejón, over 20 million tons of annual coal production at a price less than $300 million, very cash generative. These are – these were acquisitions in our existing mines where we understood them, we know them, we operate them, they’re best-in-class assets in Australia. So a very successful M&A track record in coal – energy coal, a little bit in energy coal and predominantly in steelmaking coal. So those have been two very, very good acquisitions for Glencore over the last 3, 3.5 years and very excited for those businesses going forward. On the alumina side and aluminum side, Steve touched on that earlier as well. We’re now 33% owners of Alunorte. It’s, I think, the biggest and lowest cost alumina refinery outside of China, Tier 1 asset, really, really well managed, well run. You know where alumina prices have gone over the last few years or the last few months, let’s call it, and even spot prices today, paying back significant cash to us as shareholders and to our joint venture partner, Hydro. Very happy with that asset. A lot of work being done on both sides to bring costs down, converted to gas fired from previously being oil-fired, meaning we’ve lowered the cost of production, a cash generative business, Tier 1 asset, very, very happy with that. And associated with that, 45% in MRN, the bauxite mine nearby, long-life asset, very good feed quality into Alunorte. And we also did some big M&A on our agri side. As you know, we did the transaction with Bunge. We sold Viterra, $1 billion of cash that’s coming back, we should close in the next few months. And in fact, as Steve outlined in his waterfall for our cash distribution, we’re already paying that cash out to shareholders that $1 billion. And then we’ll own 16%, give or take, of an enlarged and amazing agriculture company in Bunge, run very well. Greg Heckman is a great guy. We’ve got a great team running that business, very excited to be shareholders in that for a period of time. But as Steve says, there’s an ability to monetize at the right time, in the right way, at the right value, some of that shareholding and bring it back to you as shareholders. So that’s a great piece of M&A that we’re very excited about, and we’re happy that we concluded that. On the copper side, also done some good work with our colleagues at tech. We’ve merged our assets and their assets into a new project called PolyMet in Minnesota in the U.S. Under new administration rules, we’re hoping to be able to advance that project into critical minerals, nickel, copper and the likes. It’s a brownfield project. It’s low capital intensity, and we’re hoping to see that progress, very happy with that asset. And the other one where, as you know, we picked up the remaining stake in MARA, we were a minority shareholder in MARA. It’s a leading brownfield copper project. This is one I’ll get into in a couple of slides, but we picked up 100% of that asset. It’s the – effectively the extension of Alumbrera, a very, very exciting asset. Steve and I were out there last year. We’re progressing ahead with the studies, and we’ll be looking to bring that to the market at the opportune and at the right time. And I guess the one piece of M&A that people don’t touch on but we’re – we’ve done very well, and we continue to do, and we will continue to do is we’re buying back our own stock. We’ve bought in the last 3, 3.5 years, nearly 10% of Glencore back, over 1.2 billion shares of Glencore back. And that, in my view, has been our biggest and our best form of M&A. There’s zero takeover premium, zero due diligence needed. We know our own assets better than anybody else. We’re buying it cheap in the market. Everybody talks about a re-rate. The re-rate is coming. And we’re doing many things around the rerate, whether it’s the right stock exchange, whether it’s advancing our portfolio of projects, whatever it may be. But the best thing about buying back our own stock is we are front-running that rerate. So the more buybacks we do, the better. Today, we announced $1 billion. As Steve pointed out, we’re a cash-generative business. By the 6th of August, this buyback will be done. There may be a new buyback coming in August. Again, if our stock continues to trade where it trades, we will continue to buy back because this is terrific M&A. This is taking our company private by stealth. Very happy to do that. We’re not out there paying 30%, 40% premiums for other listed companies. We’re quite happy to buy back our own company at a discount, while it trades at a discount, and we’ll continue to do that. So we bought back approximately 10% of our own stock, and we’ll continue to buy back, terrific form of M&A. So moving on to our copper projects. And I know I think BHP had their presentation the other day. They also touched on some of their organic growth. We’re very excited about the organic growth that we have in this business. It’s amazing the projects that we have. If you look at the capital intensity of our projects, and I’ll get into some of the projects in a bit more detail in a sec, but a $15,000 to $20,000 capital intensity across a portfolio of up to 1 million tons of growth. Now Steve talked earlier, and he put up a slide showing that we reset our base business back to 1 million tons by 2028. That’s the base business of this company. We have long life, best-in-class copper assets, whether it be KCC in the DRC, which goes on for many, many years, Collahuasi, Antamina, Antapaccay, these are long-life assets that reset our base business at 1 million tons a year. We’ve got the slight up in the preceding years because of whether it be sequencing at Antamina or the dip that we have because of the water in Collahuasi, we know all about that. But really, what is our base business? It’s a 1 million ton a year of base business. And we have the ability to bring on as we want up to another 1 million tons a year of fantastic quality projects at very low capital intensity, 15,000 to 20,000 tons is sector leading and will give us the ability to lever up our business from 1 million tons to up to 2 million tons of copper a year. Now let’s have a look a little bit at when we’ll do this and some of these projects. The one thing we can assure you, we are not bringing the projects on at $9,500 copper. In fact, we’re quite happy to have less copper being mined today and tomorrow and this year and next year, while the copper price remains at $9,500. We all believe, we all know, we look at the forecast, we look at the stats. Copper will be in deficit going forward, whether it’s grid spending, whether it’s AI, whether it’s transition to renewables, whatever it may be, copper will be in deficit and copper prices will go higher. We do not want to supply copper into a market that is at $9,500 or oversupply into a market that is at $9,500. So there’s no rush for us to bring these on. We will bring them on and we’ll bring them on smartly and in the right way. In the interim, while we do that, we go back to what our option is, and everybody always talks about the buy versus built. That’s always the big debate that everybody talks about. Do you buy another copper company, do you built? Well, for us, we do have the third option, and that’s buying back our own stock. We spoke about it on the slide before. We can buy. Okay, you look around what’s around the world. From a copper perspective, and I think BHP also mentioned the other day, not much out there to buy at good value. We can build. We have great value projects to build, and we will build these great value projects in the right way, as I said, I’ll get to those in a second, particularly with our capital intensity of $15,000 to $20,000, one of the sector leading in our industry, sector-leading in terms of being able to bring on up to 1 million tons of additional copper. But while we wait for the market to recover, what the best thing we can do is continue to buy back our base business of 1 million tons a year. So it’s not just buy versus build. It’s buy versus build versus buyback. And we will continue to allocate capital in the most capital-efficient, value-accretive way for our shareholders. So if you go down the wagon wheel that we’ve got in the middle of the slide, we know a lot about some of these projects. You know about the Mutanda Sulfides. We’ve spoken about that before. That’s a very long-life copper project. It’s an existing mine. It’s very low capital intensity. It’s a few hundred million dollars to bring that on once we want to bring that on. We’re not rushing to do it at the moment. It’s probably 100,000 tons of copper for many, many decades to come. So a very good project in the DRC, which we are continuing to progress that project and ready to bring it on when the market is right. The other one is the Collahuasi fourth line. I think Jason had put out a primer on Collahuasi, people know a lot about Collahuasi. We’ve put information out, Anglo put information out. Probably the best copper mine in the world, in my opinion, and there’s great growth that you know a lot about. So I don’t want to spend time on DRC and on Collahuasi here. What I want to do is double-click a little bit on to some of our other projects. One is that the market seems to not fully grasp the potential of these projects. And that’s Coroccohuayco in Peru, MARA, which we touched on earlier, in Argentina and El Pachon in Argentina. So let’s do that now. I’m going to start in the middle on Coroccohuayco. Coroccohuayco is an extension and expansion of Antapaccay. Antapaccay’s a terrific mine, produces approximately 150,000, 200,000 tons of copper a year. And Coroccohuayco is a brand-new mine, but, when I say brand-new mine, it’s only 7 kilometers from – approximately 7 kilometers from Antapaccay. This is 300,000 tons of copper equivalent production, 300,000 tons that we can bring on. And what we need to do is build the conveyor belts. That’s what it is. It’s the conveyor belts, some plant upgrades and bits and pieces. It’s very low capital intensity. It’s a terrific operation, existing operation, brownfield and supplements our existing Antapaccay business. We’ve been doing a lot of work on that project over the last few years. And as I said, this is not something that we want to rush to market given $9,500 copper but it’s something that probably, of all our projects, could be brought to the market the quickest if we do see market reactions to what we all forecast to be a copper deficit going forward. So a terrific project. Probably, I would say the lowest capital intensity of all our projects and the quickest to market, 300,000 tons in a very good mining geography. Peru, of course, has been – everybody talked sometimes about some challenges in Peru, but Peru has been very stable in terms of a mining geography and we operate Antamina there very successfully. We operate Antapaccay very successfully. And Coroccohuayco will be a fantastic brownfield expansion for our business, bringing 300,000 tons out of the Coroccohuayco business. Now into Argentina. I mentioned earlier, I think that Steve and I were in Argentina a few months ago. We’ve got two terrific projects there. MARA, we’ve discussed it in this forum before. It’s effectively an extension of the Alumbrera. We were at the Alumbrera plant, the plant is in unbelievable shape, it continues to operate. They continue to move the mills and turn the mills and do everything they need to do to be able to turn that plant on when it’s ready to go. We have camp facilities. We have all the facilities, transport facilities, the chain is in place. So this is a business that once we decide to greenlight this project, we’re also quite quickly to market, not as quickly to market as Coroccohuayco but it is a project that can come to market in a very quick period of time. It’s a complete brownfield, low capital intensity. It’s approximately 17 kilometers, a little bit further away than Coroccohuayco is from Antapaccay, but approximately 17 kilometers from the old Alumbrera plant. So a very, very good asset. This is about 200,000 tons of copper equivalents per year. It’s a 20-year plus operation, very low capital intensity. We will be putting our application in for the RIGI probably in the next 2 or 3 months. We have – we want to make sure that that’s done properly. We’re working very closely with the Argentinian administration. And that RIGI application goes in, and we will then develop that project, continue to understand the project and bring it to the market when the market is ready. And then the other and the last project to talk about is El Pachon. So El Pachon is a greenfield project and I know everybody sitting here are going, Glencore, you’re never going to develop a greenfield project, dah dah dah, we’ve all heard that. And yes, greenfield projects do make us nervous. Now I know I sound like our previous CEO, but he was right. Everybody should be nervous of greenfield projects. They are not easy to deliver. So what are we doing on El Pachon? Well, firstly, we’ve now drilled out the resource base further, and we’re actually going to stop drilling because the more we drill, the more we find. It’s an unbelievable resource base. Some of those resources that we spoke about in the previous slide, well, a lot of those are in El Pachon. It’s a fantastic, unbelievable deposit. In our view, once this is developed and it will be developed, this will be one of the top 10 copper mines in the world. No question. Well over 300,000 tons, probably even more of annual production for decades to come, a very, very good operation. Not much around in the area, which in fact is a positive when you’re developing mines. So we don’t have too many other social conflicts. Of course, we do everything responsibly. We do things the right way. But in terms of being able to get it through the system and get approvals and start mining, we don’t have a lot of social conflict. And in fact, we have the opposite. We have a government in Argentina who is very pro, very helpful. We have a RIGI application for this one as well. This RIGI application will go in probably a month or 2 after the MARA. And this will go through and that will give us the stability and the tax breaks and the benefits that we need to be able to develop this project. But the question is, will Glencore develop the greenfield projects? Well, in a traditional way, where we go and we go tell the market that it’s going to take us x years and y billion dollars, and then we go and build it, and then we have to come back and report that, we’ve blown the budget or we’ve grown the timetable, we will not do that. We’ve decided to think a little bit out of the box. We’ve got a whole bunch of new different ideas where we can massively derisk this project, massively derisk the development of this project so much so that to the extent that we want, we may – we had always sequenced this towards the back end of our projects because of the greenfield nature of it. But if some of these ideas that we have, which massively mitigate the risk, we were able to maybe bring this thing forward in terms of our sequencing because of the way that we’ll develop it. Now a bit early to talk about those ideas now. We’re still developing them. And of course, we’ve got some other projects which are far better and far low capital intensity like the brownfield ones in Coroccohuayco and MARA. But El Pachon will come to market, and it will come to market in a different way to what other greenfield projects has come to market, and it will be a fantastic cash generator for Glencore in years to come. So very excited about that project as well. And that contributes to our base – well, drive growth of our base business of 1 million tons a year. This will contribute to that additional up to 1 million tons of additional copper growth. So to wrap up, our priorities, 2025 priorities, first and foremost, is safety. We didn’t touch on safety earlier. But unless we can operate safely, we should not operate. It’s our clear and #1 value and priority in this business and will remain throughout and always, very key. The other area which we always spend time on, and we haven’t spent a lot of time on during this presentation, but I’m going to go – I’m going to spend 2 or 3 minutes on it, is our supply discipline. And I did touch on it during the copper discussion. We do not want to bring units into a market that doesn’t need the units. And that is why we are not rushing these copper projects. I believe that if these copper projects were in one of our peer companies, they would be rushing ahead, building, developing, bringing the tons on to the market. We’re very fortunate they are in our hands, and we’re not rushing through, so therefore, we’re going to keep this market to the market will remain tight, very good for our base business and very good for the future as we develop these projects. But in other commodities, we also are going to remain very supply disciplined. And we’ve already taken action, and we’re going to take more action. We’ve seen weak commodity prices now. And as I said, I’ve got no problem with a slight dip in copper production this year and next year until we get back to our base of 1 million tons because why rush tons into a market at these kind of prices. We would prefer tons into market at higher margins, higher cash generation. So what have we done? We’ve already shut our Portovesme smelter. We know the TC/RCs across zinc and copper are weak. We’ve already shut our Portovesme smelter, we’ve shut that in September of last year. We continue to investigate recycling options around that facility, working very closely with the Italian government to reinvest in that facility in a smart, cash-generative way to be able to keep that facility alive and keep the people employed and do some good things. However, we have shut that, we’ve taken action. You’ve seen the action that we’ve taken in South Africa, the announcements that we’ve taken around our ferrochrome smelters. We will not run operations that are not cash generative and are not profitable. So we’ve already put on notice that we are planning to shut certain smelters in South Africa, if we do not see a recovery in smelting margins. Now that can come either through the revenue side or through assistance on the cost side from the South African government. But ultimately, we are taking action. In the coal industry, in our coal business, we’re a very large steam coal producer, and we are – all our operations, fortunately, on an operational basis, are cash positive, and that’s great for us. But cash positive is not what we run this for. We run this for returns. We want higher prices, it’s great for our business. And we’re going through a number of options now and expect to come back to the market in the next little while about production cuts in our coal business to help tighten up that market. And it’s very specific around certain qualities, certain geographies where being supply disciplined will help our portfolio approach. We will be doing that work now, and we’ll be coming back to the market with these ideas around supply discipline. And the same goes for other parts of our smelting business. As you know, we have another number of custom smelters. As TC/RCs continue to remain where they are, we’re not going to run businesses that aren’t profitable. And we are going to take action on some of our smelters around the world. Those announcements will be coming when the time is right. So we’re not sitting on our hands. We don’t just sit here and say, well, commodity these markets are what they are and shrug our shoulders. We take action and we have taken action and we’re going to take more action. The other area that – to talk about is copper. I mean we have spoken about copper. But the one thing – and Steve had a great slide, I think it was Slide 15. And I forgot to mention it. I mentioned on one of my first slides, and I skipped over, I was so excited with all the returns that we’re giving to our shareholders that I forgot to mention it, which I shouldn’t have because this is the long-term growth for Glencore is – if you look at our CAGR growth in copper equivalents over the next 4 years, it’s sector leading. It’s 4% annual growth over the next 4 years in copper equivalents. This is unbelievable growth in our market, better than any of our peers are putting out there, and this is real growth. This is not the projects that I’ve spoken about. This is real growth of our 2024 base business at 4% CAGR a year until 2028. And then you’ve got the flow coming in of our projects if and when we bring those on, subject to the market. So the growth story for us is unbelievable. 4% growth, but this is going to be positive growth, it’s value-accretive growth. That’s what we’re after. We’re not in this market for growth for the sake of growth. It’s growth of value for shareholders. So that’s very exciting. There’s a lot of work to be done on our projects. There’s a lot of work being done on our existing operations, and Steve has highlighted how that growth comes through. I’ve discussed in this forum as well about those projects and where we bring those on is when they are shovel-worthy. Shovel-ready is not a term that sits in our business. We want shovel-worthy projects. When these projects that I’ve spoken about and particularly Coroccohuayco and MARA, if we brought them on at $9,500 copper, we’d make money out of those. But we want to make a lot of money out of those. So we will wait until the market is ripe and ready to bring those on, and that’s when those projects are shovel-worthy. On our marketing side, the business continues to perform very well, as we mentioned earlier, top end of the range. Steve has been through some of the numbers. And a lot of questions are coming around, well, there’s tariffs, geopolitics, this, that and the next. Nobody can predict what’s going to happen with tariffs. Nobody knows. You wake up tomorrow morning, there is a tariff, there isn’t a tariff. Is it 10%? Is it 60%? Who knows? What we do know is uncertainty creates opportunity. Uncertainty creates arbitrage options. They create dislocations in the market. And when that happens, we do well in our marketing business because of the depth and breadth of our business across the world, our ability to react, that’s where we do well. So, although maybe long-term, these sort of tariffs may not be so good for global growth. In the short-term, as we see this volatility and this heightened uncertainty, it raises our ability to get better returns of our marketing business because of these dislocations and arbitrage opportunities. So, that’s not a bad thing for us as Glencore, having the opening the only mining company that has a big part of its business being a marketing business. So, going forward, continue to create value for our shareholders. We did mention in this presentation as well, we have now actively considering the right exchange for our shares. We trade on the London Stock Exchange. We are not saying that the London Stock Exchange is bad. But what we are saying is, is there a better exchange for us to trade our securities. And we are under active consideration about whether we move our listing to a jurisdiction that may be more appropriate and give us the value that we want. The joy of not doing it immediately, but doing it soon is that we continue to buyback our own stock cheap. So, before we move and we re-rate, we get to front run that re-rate. So, very happy to have this buyback, but we are in active consideration around moving our listing to do an exchange that perhaps is more appropriate for us, and we will come back to the market once we finish that analysis. Our focus is on cash generation, of course, after safety, our focus on cash generation. Steve has put out the numbers, illustrated spot free cash flow, just under $5 billion. So, that means as the buyback finishes on the 6th of August, or before the 6th of August of this year, we come back, we will report back to you. There is a lot of cash ready to go again. So, very exciting times for Glencore, very exciting times for our business, and I will end then turn it over to Q&A.
A - Martin Fewings: Izak.
Izak Rossouw: Hi there. Izak Rossouw from Barclays. Gary, just on your comment around not – you will only bring sort of these projects if the market is right, looking through your portfolio, there are quite a few assets that’s not generating any cash today like your African copper business, Australian zinc business. You mentioned obviously the smelters and some coal assets as well. I mean are these assets still the right assets for the Glencore portfolio, particularly the copper – sorry, the African copper assets where cobalt prices, at the moment, it’s probably not making much negative free cash flow? So, will you continue to run these until the market improves, or there is obviously some interesting projects like Mutanda sulphide that can improve this. But just wanted to get your thoughts on some of these assets?
Gary Nagle: Yes. Good question. I mean if you look at Mutanda, Mutanda, we are not running at full capacity. In fact we are not running much out of Mutanda at the moment simply because of that value that we see is not there. Of course, we could ramp up Mutanda tomorrow. We can get Mutanda up to 80,000 tons to 100,000 tons of copper a year. But we are not doing that. We are being supply disciplined. It’s a finite resource. Yes, it’s a long life resource, but it’s a finite resource. We do not want to ramp up to 100,000 tons of copper a year in a market that doesn’t need at 9,500 million tons. With regards to cobalt and the bar products, yes, cobalt prices are not great. We know that and we don’t expect them to recover in the short-term. However, the joy of these assets is the quality of these assets, high-grade copper deposits. And the one thing that always people forget, I mean I guess we had the sugar hit and the sugar high of $80,000 cobalt for a while and we thought these cobalt mines with copper bar products as opposed to the other way around. But when we bought in and when we developed these operations. These operations, we don’t know what to do with the cobalt. It was never a business plan to have cobalt. We just stockpile it. We didn’t know what to do with it. These are copper mines. That’s what they are and they are copper mines. So, where the cobalt is 10,000 million tons, 80,000 million tons or zero, these are standalone great copper mines that will make a lot of cash for this business and its shareholders in Glencore and our joint venture partners in the DRC will make a lot of cash going forward. Very high quality grade, probably the highest quality grade copper in the world, open pit mines, you don’t have this risk of all the underground, deep underground, all those sorts of things. Very good relationships with the DRC government with Gécamines, our joint venture partner in KCC. And these are long-life mines, very long-life mines, and Steve talked about some of the costs. The costs will continue to come down. We continue to optimize those businesses. There is always challenges. Every country has its mining challenges. DRC has its own challenges. But many of those challenges, we continue to unlock in conjunction with Gécamines, who are very collaboratively partnered with us, and we are very excited for them.
Izak Rossouw: And then just – hi, just a follow-up, on EVR, you said it’s sort of early days on getting and integrating and bringing the cost down. But what’s your sense for potential synergies post integration?
Steven Kalmin: Synergies, I mean Xavier can talk – Xavier is here, our Chief Operating Officer. He could probably talk a little bit about synergies generally. We are not going to give numbers now, and that’s something that will come later maybe on the EVR site visit. But I think I touched on it earlier. I mean if you can go through this – I mean just look at what we have done in the second half of the year. The second half of the year, no, that’s not synergies. That’s – you could call it synergies. We have reduced operating cash cost per ton by 14%, with increased productivity. Now, some of that cost saving comes through the fact that it’s higher volume, and where does that higher volume come from is productivity enhancement. Where does that productivity enhancement come from, from Glencore operating practices, standards and the way we do things. Some of it is just genuine cost savings as well. So, we have done that. That is a synergy standalone, 14%. You think, Steve put out the cost of production of our coking coal business. 14% of that is real big numbers. You can do the math. So, we have got major synergies in cost through operational excellence and the way we operate those mines. Procurement, and we will come back with those numbers, but it’s just natural. Teck is a much smaller company to Glencore. We buy more trucks than them. We buy more shovels with them. We naturally have bigger discounts than them when it comes to whether it would be Caterpillar, Hitachi, Liebherr, Komatsu, whatever it may be, so explosives, all those sort of things. That’s a natural synergy that we have, okay, that’s just because of size and scale. So, we bring that to the business. On the marketing side, we know the expertise we bring on marketing. But the marketing synergies, and I want to emphasize is, the marketing synergies aren’t at the – on to the disadvantage of our customers. It’s about optimization of products, qualities and particularly having the Australian business and our third-party trader business to be able to optimize that book that allows us to be able to give our customers what they want, when they need, but at the same time, optimize our revenue line. So, it’s a win-win for both. So, those synergies are material. We will have a bit more granularity on it when we go out to EVR in June, but we already see it in the costs.
Martin Fewings: Jason?
Jason Fairclough: Hi. I am Jason Fairclough, Bank of America. So, speaking of synergies, just wondering if we could get an update on the synergy discussions with Teck around Collahuasi and QB2?
Gary Nagle: Slow.
Jason Fairclough: Okay.
Gary Nagle: Ask Jonathan on Thursday.
Jason Fairclough: I will. The – beyond that, if we think about M&A more generally, your name has been mentioned in the press twice, I think in the last six weeks. So, one was with Rio, once with your African copper assets. How are you thinking about that more broadly? Are you actively considering other options? I mean you talked about actively considering a new exchange. By the way, we hope you don’t, right? But is there a bigger trade here?
Gary Nagle: It’s not a bigger trade, Jason. I mean this company was built on M&A. I have said it before, it’s in our DNA. So, whether it’s buying, selling, merging, it’s – we all look for value-accretive transactions. And I mean at the right value, there is something to be done. Now, is that buying something, is that selling something, is that merging, it’s got to be done in a value-accretive way. Nobody wants to do M&A for the sake of M&A. Nobody wants to grow for the sake of growth. Big is not necessarily good, but big may be good if you can create value for your shareholders. So, as Glencore, we are always open to opportunities. Now, those opportunities are value-accretive opportunities for our shareholders. If those are there, and this is no different to what this company has been for 50 years. When there is a value-accretive opportunity, whether it would be a small operation, a small mine, a UG2 plant in South Africa, as you see, we have just done some work – some transaction today with Sibanye, a small UG2 plant in South Africa, a large copper mine in Argentina, a corporate transaction, coking coal, steelmaking coal operation in Canada. If its value accretive and we believe value accretive for our shareholders, we will pursue that. And it’s not a change of focus. It’s not something that we are now doing that. And I have spent some time on the M&A, a bit that we have done over the last 3.5 years had gone through the last 15 years or 20 years, we would have been here for about four days. So, we have done M&A. We have done M&A well, and we continue to be open and alive to M&A at all levels of this business in a value-accretive way.
Jason Fairclough: Thank you.
Martin Fewings: Ephrem?
Ephrem Ravi: Thanks Talking about sugar rush commodities, gold and silver has kind of clearly delivered in your zinc business. Are you thinking about kind of taking advantage of this and either IPO in some assets or streaming some of those more aggressively?
Gary Nagle: I mean at the moment, it’s very cash generative. We know we are a big gold producer and silver, in fact. The cash flows are very helpful and Steve illustrated how they help our business in terms of C1 cost of the byproduct. Back it comes back to Jason’s question. I mean I don’t think we are streaming now. I mean it’s not something we would be looking at. But if the gold isn’t core to us, of course, we do have a distinct gold operation. If somebody wanted to buy a gold operation at spot gold prices, we would consider it, because it goes back to the M&A. It’s about value, is that value accretive for our shelves. We don’t want to necessarily erode from our base business and – but at the right price, of course, we would. But gold is not a core commodity for us. So, it’s not that we are out there trying to sell it or do something, but gold is very flavor of the day. Prices are very strong. And we have a good gold operation.
Ephrem Ravi: And then just a second one on Viterra, you have kind of started taking into account the Viterra cash proceeds in your shareholder returns, which is not the case 6 months or 12 months ago. What gives you confidence that the deal is sort of closer to closing and you can kind of take that into account?
Steven Kalmin: Well, we are sort of reflecting as much as anything else from there, you bet [Technical Difficulty]. They have obviously seen the results, I think a couple of weeks ago or a week ago, they spoke towards for the coming months, I think it was obviously their language that they use. But at some point, I think it’s also now with the fact that EVR has been fully absorbed, the business is back to these levels in terms of sort of de-gearing and it’s throwing out strong free cash flow. It’s not like you are having to take a particular view is that going to keep you maybe above these sort of thresholds. Now, that we have already blown through we thought we can put it in there with – that doesn’t reflect the change in confidence now. I mean, obviously, today, we are a day closer than we were yesterday. That’s the only certainty we do now. And it’s appropriate to obviously put it through also the fact that we now are aware where debt levels are, and we are generating the sort of cash, and we are looking forward to what we can do in August and possibly before.
Ephrem Ravi: Thank you.
Martin Fewings: Alain?
Alain Gabriel: Thank you. Alain Gabriel at Morgan Stanley, a couple of questions. First one is on the way that you look to unlock value. You talked clearly about M&A. You talked about looking at the listing and you stressed a lot the buybacks. Are there opportunities to trade non-core or non-critical assets for cash that you can use for buybacks?
Gary Nagle: Well, Steve spoke about the Bunge stock. I mean we will be very supportive shareholders, and we have a lockup period. But, in the long-term, you would expect that, that would be a non-core asset for us. Now, we are not rushing to get out and there is – and certainly anything that we did do would be done in collaboration with Bunge after the lockup and would be doing in a value-enhancing way. But that’s something – and Steve talked about some short-term ideas around that to be able to accelerate returns to shareholders around that shareholding. So, certainly, that is on the table and it could be done out of cycle, as Steve said.
Alain Gabriel: On the second point, Steve, are you able to give us a bit more color on your creative thinking around the stake?
Steven Kalmin: It’s not about creative thinking. It’s just classic, you can do just non-recourse, loan-to-value type structures. So, it’s not something that sort of hits the market at all, but you have got a liquid secure stock, it’s worth, I don’t know, three sort of pick a number, depending what all the things you can get 50% loan-to-value type non-recourse, there is so much headroom over there. That, given the nature of that, that is a step towards, as Gary said, it doesn’t matter 2 years, 5 years, 10 years sort of down the track when it finally gets monetized in the best possible way for Glencore, that is cash. That doesn’t then impact the other liquidity. It’s non-recourse clearly to the rest of the business and they show up as debt, but that may be an appropriate adjustment from which to say that, say, 50% of that could be applied towards an earlier distribution of what is capital headroom in the business that would otherwise be the case. So, it’s going to be done collaboratively with Bunge. We believe in that company. We see significant synergies and value-accretive opportunities over time. So, I mean that stock for us, we need to think what’s the best value DCF today, a variety of sort of time horizons of ultimately being sort of non-core, which it clearly is within our business. But that’s a way of accelerating potential both liquidity and definitionally how we can think of capital in the business for the ability to distribute it.
Alain Gabriel: Thank you.
Martin Fewings: Chris?
Chris LaFemina: Hi guys. It’s Chris LaFemina from Jefferies. Just following-up on some of the M&A question, so when we talk about non-core asset sales and potentially using proceeds for a buyback. What about considering selling like your really Tier 1 – like, for example, sell Collahuasi, use the proceeds to buy back 20% of your shares. There will be, I would assume, a very high multiple in the market that somebody would pay for that and your equity valuation itself is very low. I mean you are not going to obviously trade assets around. But it seems like there is a pretty big arbitrage in terms of selling a high-quality copper asset in the market today, where you are actually monetizing some of that future upside to the copper price that’s reflected in valuation. So, is that something you consider doing?
Gary Nagle: Chris, everything is out there in our press.
Chris LaFemina: Thanks. Good answer. Second question, Steve, just on the EVR shareholder loans, when those convert to equity, does your ownership stake in EVR go down, or you will still be at 77%?
Steven Kalmin: That’s exactly the same. As you know, this is just within that JV of how sort of ourselves and those minorities have or sort of represented within that capital structure. So, it’s a mix of shareholder loans and sort of equity. We would just roll it up into the equity. Everything is proportionate within that. I mean there is no change. It’s purely accounting geography that moves from debt positioning within our balance sheet up to a non-controlling interest within the equity of that business. Nothing changes anywhere else.
Martin Fewings: Liam.
Liam Fitzpatrick: Good morning. Liam Fitzpatrick from Deutsche Bank. Two follow-ups. Firstly, on the listing, is it safe to assume that it’s the U.S., that you are mainly looking at, and can you give any kind of guidance on the timeline for this decision process?
Gary Nagle: The – yes, the leading candidate would be the U.S. I mean we are not excluding any other exchange, but clearly, the U.S. is the leading candidates. We have seen Barrick is now also considering it and you see some of the valuation multiples and the money that’s available there. Look, with that said, we still have a very strong U.S. presence on our register. On our institutional side, I think we are close to 50% U.S. investors. So – but U.S. is the leading, but we would consider all of them. In terms of timing, the reason why we raised it here is because it’s always something that – and I think every management team should always be alive at any time and any Board should always be alive to, are they being traded on the right exchange. And we have always been alive to that. But what’s moved between where we have sat here before and when we sit here now, is without actually engaged with experts and are actively considering it. So, I can’t tell you it’s going to happen in three months or six months or 1 year or 5 years or next week. But it’s about work that’s being done for us to assess and make that decision, whether we stay, whether we move, what do we do, and that’s happening at the moment.
Liam Fitzpatrick: And second one is on M&A, which I know is the hot topic at the moment, but you have made no secret in the past that you think big consolidation makes sense, but you have got two businesses, which could be impediments to a merger, which is coal and maybe marketing. So, curious where that leaves Glencore? Does it mean that big deals are off the table, or would you potentially be open to breaking parts of the business for the right deal?
Gary Nagle: I mean I will answer it two ways. One, Jeffrey’s [ph] answer, anything is for sale at the right price. But more importantly, I don’t agree with you that coal – in fact, either of them are impediments to a deal. Let’s look at coal first. You have got coal, you got steelmaking coal firstly, where – and Steve has taken you through the numbers, where steelmaking coal is becoming a bigger part of our coal earnings than energy coal. And steelmaking coal is recognized as a critical mineral in many countries around the world. Many of our peers have steelmaking coal. And it’s recognized that this is needed for the transition. So, steelmaking coal is in a completely different category to energy coal. Now, let’s talk energy coal. Energy coal, and I did say during my presentation, is not – coal is no longer a four-letter word. In today’s world, the pendulum has swung back and recognizes that coal – energy coal is needed today as the world transitions. We can’t transition overnight and energy coal is required as the world transitions, and there will be good margins out of an energy coal business and the extremism of anti-coal has come out. And I think everybody recognizes that. But the most telling factor, and this to me is the most telling factor of why coal is not an impediment and why anybody would be happy with coal, any of our peers would be happy with coal is as follows. If you look at – we did a consultation in July last year, July, August last year with our shareholders. And we said, do you want us to spin out coal, as I have said, we consulted more than two-thirds of our register, over 95% said keep coal. And who is on our register, what’s the same shareholders as all our peers and everybody else. They have all got the BlackRocks, the Capitals, the Vanguards, etcetera, etcetera. They are all there. So, if they are happy for Glencore to keep coal, then surely, if one of our peers wants to merge, buy, combine with us, if they are happy that it’s in Glencore, they would be happy it’s in whoever the competitor is.
Steven Kalmin: It’s more coal asterisks [ph] Glencore strategy, which is the responsible rundown, which earlier had got an over 90% support at our AGM for that rundown. So, it’s not coal blenders, it’s coal rundown strategy responsible.
Gary Nagle: Exactly. So, they approved our rundown strategy over 90%, and they have – so it goes hand-in-hand, Steve is right. They approved the rundown strategy, the responsible management. Don’t put in irresponsible hands, keep it in responsible hands like us, and they approve keeping it. These are the same shareholders in every other mining company around the world, all your customers, all your clients, the same shareholders. So, if you are right – excuse me, using one of the examples, Evy Hambro, BlackRock, if he is a shareholder in Glencore and if he is saying keep coal because I am happy Glencore, you keep it in responsible hands, and I am happy it should stay with you, keep coal. I don’t want you divesting it, then why would he be upset as a shareholder in any of the other mining companies if we decided to do some transaction with another mining company, why would he not want it in that mining company. He is very comfortable with it. So, coal is not the four letter word it was. It’s recognized to be required and needed today in responsible hands and all our shareholders are the same. And our shareholders have told us they are happy with coal within Glencore. So, certainly do not see coal in any shape or form as an impediment to any sort of M&A. In fact it’s a value in an M&A for somebody else because this is a very cash-generative business. And many of our competitors don’t have it. They got out of it for various reasons historically. And if they want to do a transaction with us, it’s an opportunity to get back into the best steam coal energy business in the world. So, there is nothing wrong with that. On the marketing side, well, our marketing side is absolutely unique. And many of our competitors, and I understand – well, I know many of our competitors have tried to replicate it. And you have seen it over the decades. Many competitors tried to replicate what we do and have not been successful. It’s something they would love to have in their business to be able to bring that additional value, particularly the base tonnage that they have, the value that we create for our base tonnage alone just our third-party tonnage, the base tonnage that we have through our marketing expertise, our competitors, we understand would be very happy to have this marketing business. It’s something that’s a value add to their businesses. They have tried it, many have tried to create it, they failed. It’s a very unique skill that we own and would be an attraction if there was some sort of transaction to be done. So, completely disagree. I think that those are two unique characteristics of Glencore that we have that many don’t have that would actually maybe promote some sort of excitement.
Martin Fewings: Myles.
Myles Allsop: Myles Allsop from UBS. Maybe another quick question on the potential U.S. listing, have you looked at the friction costs? And obviously, you have a very complex structure. There is – obviously, it’s been well built to minimize tax leakage. Have you – is the listing going to be challenged by costs, do you think, from your early discussions, or is that not an issue?
Gary Nagle: I mean all I have said is we started the analysis and friction costs, whatever those may be, would be part of that analysis. We are not going to be blind to that, and we will do the work that needs to be done.
Myles Allsop: You haven’t got a preliminary estimate of what those could be at this stage – and maybe…
Steven Kalmin: I think that friction cost itself is not – wouldn’t be a material impediment to any relisting or something somewhere else. It shouldn’t be.
Myles Allsop: Maybe one of the other debates we have got with shareholders is around coal pricing and how low can we go. Can you maybe talk a little bit about the markets today, both on the thermal coal side, on the met coal side, how you see prices evolving over the next 6 months, 12 months?
Gary Nagle: Yes. On the steelmaking coal side, we remain very bullish. We have had a – we have seen these continued steel exports out of China through the course of last year, over 100 million tons of steel exports. And that is effectively an export of steelmaking coal because they are using the domestic Mongolian coal, converting into steel and exporting it. So, it’s effectively an export of that. If we see a reduction, and we do believe there will be a reduction in steel exports out of China associated with growth in steel production in places, particularly places like India and others, blast furnace production with steelmaking coal, we believe the market comes back into balance, and we see upside for steelmaking coal. So, that’s good. On the supply side, other than Mongolia, there is much – there is a lot of constraints. Nobody is really expanding. There is not much expansion. You have got Grosvenor that’s closed. Australia is – Mike has been quite vocal about not spending more money on BMA because of some of the history around Queensland. So, there is no expansion in BMA. We are not expanding in EVR. There is very little other supply side ability to supply – response or respond on the supply side. The North American market are high cost or I would say North America, more the U.S. market is high cost, and we probably will see some of those tons come out of the market in the current environment. So, I think the upside from here in steelmaking coal is good. Energy coal as well, last year was a big import year for China, 373 million tons of imports. We see them this year continuing to import very strongly. It’s obviously very dependent on what they do domestically in terms of how much domestic coal they produce versus the import. We are happy to reduce our own production. And I have mentioned in our presentation that we will take – likely to take concrete actions in terms of supply response on our side to help contribute towards balancing that market. So, I think from there, you sort of – and there are operations already now, which are at the cost curve or the cost curve is above the current pricing, and it will be struggling at these prices. So, we expect – we will take proactive action. We are all cash positive across the board, but there are operations that I believe with time, will come out of the market as well at these kind of prices, so that will give us an opportunity for prices to recover.
Myles Allsop: Just on the timing of your action, do you say it’s during Q1?
Gary Nagle: I mean we do the work. I don’t want to be specific on timing, but I would say probably – yes, I would say probably Q1.
Martin Fewings: Bob?
Bob Brackett: Good morning. Bob Brackett from Bernstein. Very quick question on the primary listing shift, does that require a shareholder vote or simply a Board approval, or have you determined that?
Gary Nagle: Steve, do you want to…?
Steven Kalmin: Sure. We have [Technical Difficulty].
Bob Brackett: Okay. Very clear. And then – the answer is maybe, okay. It was one of the three possibilities. The – coming to copper, 1 million tons of potential copper growth, $15,000 to $20,000 a ton, that’s a check of $15 billion to $20 billion or sort of 4 years of the free cash flow, that consensus numbers that you might generate this year. That’s a big number. Of the three projects you highlighted, they are all sitting at 100% working interest to Glencore. There is a lot of copper to be sold by selling down working interest, finding partners and whatnot. And two of the – let me pause there. What’s the right working interest for those projects?
Gary Nagle: I mean it will depend on, a, the project and b, the risk that goes with it and the capital check that goes with it. I have touched on the greenfield projects. And I think that one, as I have said, we are going to look at some out-of-the-box ideas where we limit our exposure to risk and capital blowouts and time blowouts. Does that mean that we are therefore, no longer 100% owners of that project, possibly. I mean you are not going to do that without giving up some of the equity interest, but that’s fine. I mean if it’s going to be, and we believe it will be one of the best copper mines in the world, we are quite happy to not own 100% of it and partner in a smart way with one, two partners, whatever it may be. So, it doesn’t have to be 100%. It also depends how we do it, who we do it with, where do those tons go. We may not own 100% of the project, but we may keep 100% of the tonnage off-take. So, there is a lot of work still to be done.
Bob Brackett: And a quick one. Does out of the box, is that similar to across the border for El Pachon?
Gary Nagle: Everything is on the table.
Martin Fewings: Matt?
Matt Greene: Hi. It’s Matt Greene from Goldman Sachs. Perhaps I will start with the copper question. How patient can you be in Argentina, just given your eligibility for the RIGI bill? There are some timelines being put forward there. So, can you just comment on kind of how patient you can be before you have to make a decision?
Gary Nagle: We can be patient. The big step is to get the RIGI application in. And as I have said, we have got two RIGI applications going in, in the next six months. And the turnaround time to get that approval is quite quick, and we engage very closely with the Argentinean government. So, we expect no issues around that. Once you have your RIGI approval, there is obviously some minimum spend, but it’s not material. But there is a lot of flexibility within that in terms of bringing that to market. It’s not that if you get a RIGI approval on Monday, you have to start digging on Tuesday. You have got a lot of flexibility around timing and how you develop the project. So, more important for us is getting that RIGI application in and getting that approved, which we are very comfortable with. We will have those in, as I say. And beyond that, we can then be flexible around the timing to be consistent with where we believe the market needs the tons rather than worrying about timetables.
Matt Greene: That’s great. Thanks. And then just on coal, you touched on the end about sort of potentially taking supply out of the market. I guess more broadly, the cost curve is falling on FX tailwinds in places like Australia. But I think you also touched on just the product mix. We are seeing quite a big discount at lower rank coals. What are you thinking here? Are you thinking – improve the pricing line, more premium rank coals? Are you looking at maybe pivoting to low grade? And what could that translate to, I guess lowering costs and potentially CapEx as well?
Gary Nagle: I mean – remember, we don’t produce much low-quality coal. We have a little bit that we do domestically in South Africa that we supply to the local utility. But really, we play in the high-quality market. There is a slight overhang. There is more of a supply – oversupply in the low quality, and that will look after itself. But there is some oversupply in the high quality, particularly that’s being blended to go into China is a 5.5 [ph]. And that’s the area that we can influence, and that’s the area that we are looking at where we can try and balance the high-quality market. And that’s only what we are interested in. What the low quality does, the low quality does. And in many cases, the low quality is not even related to the high quality because of this step-up difference in value, if you are talking a 4.3 versus a 5.8 in terms of material – CV of the coal. So, we play in the high-value market – in the high CV market. We look at the surplus and deficits within that market and how we can influence that. It’s not – you can’t just substitute between high CV and low CV in many markets.
Martin Fewings: Alan?
Alan Spence: Thanks. Alan Spence from BNP, on copper, what is the scale and duration of the deficit you would need to see to be a signal to you to bring some of those new projects on?
Gary Nagle: It’s not around exact numbers. It’s about confidence that we have all got these models that says there is going to be a big supply deficit. And AI, increased inference grid spending, it’s all those sorts of things. And that’s great. But we actually want to see the actual demand coming through in the numbers. Now, Chinese demand last year was very strong. We expect Chinese demand growth to be strong again this year. So, it’s not so much around how you have put it, but more around as we actually see the demand coming and the inability of supply to respond, we will see obviously price reaction. At some point, you will have some demand destruction. But if that’s done in the – if it happens the right way, you will see gradual price increases. It’s the physical manifestation of that deficit that we want to see. Now, that doesn’t mean that we see it, so we can then start the mine tomorrow. We know that doesn’t work. But it’s a sustained continual demand growth that the supply side is unable to meet. Now, while that’s happening, we are not sitting on our hands. We have spoken about what we are doing on these projects. A lot of work being done, whether it would be RIGI applications, whether it would be drilling, whether it would be pre-feasibility, whatever it may be, out-of-the-box thinking on structuring, buying some land permits, etcetera, etcetera. So, we continue to compress the timetable. And as we see that deficit manifest, and I have said it before, I would rather to see – I would rather see, I would rather be late. In fact, I would love to be late to that party because when the party starts, it’s going to be great, and we don’t want to mess up the party. So, let it go, let the price run. And if we are not delivering the tons into it, who cares, we have a 1 million ton a year of copper business. If we had zero copper, then I would want to start building today. But we have a 1 million ton a year of copper base business. We are back to 1 million tons by 2028 of our base business, not on any of these projects. So, let it run, let it run. Let it run as long as it can and let the other miners blow their brains out on bad project execution and not bring the tons to market because that will keep the market tight, that’s cool. And then we will make a lot of money on our 1 million tons. But when we see that sustained growth and the inability, sustaining ability to meet from the supply to meet it, that’s where we want to come.
Alan Spence: Alright. Thank you.
Martin Fewings: Ben?
Ben Davis: Alright. Ben Davis, RBC. Just a quick comment on Koniambo, there were some bids in – I think it was January, were they serious bids and just ongoing costs associated with that operation?
Gary Nagle: I mean we engage with a few parties, and we continue to engage with them. We will see where that goes. Ongoing costs are immaterial.
Richard Hatch: Yes. Hi. Richard Hatch from Berenberg. Two questions, I will ask a question on the marketing EBIT. So, $2.2 billion to $3.2 billion, what’s holding you back from lifting the range? And also, should you lift the range and therefore, in consequence, lift the base dividend from marketing?
Steven Kalmin: I think what we had said before is that we are waiting for, and we have all had to be very patient to see the close of the Viterra transaction as being sort of once that’s announced, that’s the catalyst because that comes out of – it’s always been a smaller component of that thinking about the $2.2 billion to $3.2 billion was probably $200 million or so within that as part of a midpoint of 2.7 billion. Of course, I can sit here and we could have come here with some new things, but that just seemed sort of the right timing to say you have taken off this wedge that was a business that was part of marketing. And then in anticipation thereof, we would have to have a good internal think about what renumber that we are willing to calibrate. But the upside pressure clearly has been building. The performance has been very strong. Volatility through a range of sort of commodities seems to be more structurally embedded as opposed to sort of cyclical around that. Our businesses have expanded in some commodities. LNG didn’t exist a few years ago. We do with lithium now. That’s also contributing within the business as well. You have seen some general inflation, so kind of a real to nominal roll forward of these things. So, there will be an increase in that range, and that makes sense. We just want to be – get the right timing of when it makes sense. I think the kind of the market is probably kind of broadly there potentially or if you are not, then fine, there will be a lift at some stage. It doesn’t – it’s not sort of – it’s material, but it’s not going to move the needle hugely, whether $2.2 billion, $3.2 billion or you sort of nudge it up a few hundred million here or there. Obviously, on a spot illustrative that should translate through midpoint that will elevate that obviously somewhat. It translates almost dollar for dollar down through cash flows. I mean the cash conversion is obviously fantastic, it has been. CapEx is low. Tax rates tend to be lower in that part of the business as well. So, we have always said, and let’s wait for this sort of transaction. And we have said we will come back. That’s the commitment, come back and recalibrate what’s a sensible range at that point.
Richard Hatch: And lifting the base distribution as a result of that lift in range?
Steven Kalmin: Yes, we could consider that as well.
Richard Hatch: Okay. And then the second one is just on EVR, the medium-term CapEx of $1.1 billion. Does that include any CapEx on the Fording River extension, or should we be thinking about that as an additional number?
Steven Kalmin: Yes. We haven’t sort of fully calibrated the – yes, I mean obviously, there is life of mine plans, but there is a real kind of nearer term heavy investment in that business through water treatment and through sort of capacity itself. Now FRX, of course, it’s an extension, $1.1 billion a year. I mean let’s see whether that itself. These are brownfields, not like you are going in – I mean this is just extension by its definition, it’s extension. It needs the permitting of all these things. I am not sure it’s going to on an average cycle, necessarily needs to sort of step up necessarily. It needs the permit, the processing, all the different commitments and the process through BC with all the sort of stakeholders, but maybe Xavier is over there. But I wouldn’t see that, that necessarily needs to itself sort of feel another big potato or something that sits on top of that. I think there is a lot of CapEx even at $1.1 billion across the business once this next 3-year investment has obviously occurred, setting itself up for a very long-term that may well be able to just maintain at that level. But that’s also something we can revisit at the site visit that we are talking about in June. We will have a better handle on it.
Richard Hatch: Thanks.
Martin Fewings: Alon.
Alon Olsha: Good morning. Alon Olsha, Bloomberg Intelligence. Could you just say a little bit more about geopolitics, particularly the tariffs, Russia-Ukraine, things are moving quickly. It’s very dynamic, but your marketing business is clearly positioned to take advantage of some of the volatility. But what’s your kind of internal thinking on the industrial business and what it does to some flows of your key commodities?
Gary Nagle: Alon, I mean everybody can be an expert, but you wake up tomorrow and there is a different tariff here and a different tariff there and a fight with this one and a piece deal here. And I mean it’s unknown. So, we are not going to sit and guess. We obviously understand we are a very flexible business in how we move. We move very quickly. I have explained that the more that you have those incidents or changes, the better for our marketing business. And we are so well – you don’t have to position yourself specifically for a specific tariff or geopolitical event because we are naturally positioned like that. We are naturally positioned through both our industrial business and through our third-party trading business that we are naturally positioned all around the world. For us to move cargoes, divert cargoes, and we have done it historically where you even divert cargoes on water. On the water that’s on the way to a customer, but to somewhere else because there is an arbitrage opportunity and replace it with some other destination. That is the nature and the franchise of Glencore, and it’s the ability that we can do that at any time, in any moment in our marketing business. So, we don’t sit and second guess and role play or war play what happens if there is a peace deal in Ukraine, if this happens, if that happens, all those sorts of things. So, from tariffs, geopolitical perspective, more volatility, better for our business because we are naturally positioned for that. On our industrial business, you can look at it in many ways. Tariffs naturally are a one-time inflationary measure. If the tariffs stay, it’s a one-time hit to inflation. It’s not a continuing inflation. It’s just a one-time hit. So – and they do disrupt in a sense, global growth. We know that because now all of a sudden, there is a bit of conservatism. That naturally won’t be good for demand in commodities and naturally, therefore, won’t be good for producers. But we are prepared to make supply changes to our commodity portfolio to be able to immediately also respond to any of those changes, so that’s fine. But on the other hand, if you do have some sort of geopolitical solutions in places like the Ukraine, there is a massive rebuilding effort, that’s going to be very commodity intensive. You will have Russian material back in the world, possibly. There will be opportunities to be able to get back into the Russian business, if they are not sanctioned, if they are back in the world, who knows. So, there is many, many opportunities, more positive opportunities for Glencore with the outlook to this uncertainty. And it’s strange to say it’s positive because of uncertainty, but the uncertainty is more positive for us, and we look at it and we can capitalize on these uncertainties across our business.
Alon Olsha: Got it. Thanks. And then just quickly, I may have missed this, but did you say you would be coming back to the market on the IPO – sorry, on the listing decision at some point this year? Is there a firm date?
Gary Nagle: No firm date [ph].
Martin Fewings: Okay. Thanks Alon. And with that, we will need to wrap up now. Gary, would you like concluding remarks?
Gary Nagle: No, I think thanks for the support and all the excellent questions. It’s a very exciting time for Glencore, a very cash-generative business. We are very happy to be back in the market buying back our own stock. And going forward, we are always available for any further questions and look forward to seeing you guys in Canada in June.
Martin Fewings: Thank you.